Aleef Pasha: Good morning, everyone. Welcome to Grameenphone's earnings disclosure for the fourth quarter of 2023. My name is Aleef Pasha, and I'm the Head of Investor Relations. And with me today are our CEO, Mr. Yasir Azman; and our CFO, Mr. Otto Risbakk. 
 Please note that the presentation we are sharing today, along with additional documents, are on our Investor Relations website. You can start posting questions, and we shall address them at the end of the presentation. In case you are unable to post your questions due to technical reasons, please send me an e-mail or a text. 
 I will now welcome our CEO, Mr. Yasir Azman, to start our presentation. 
Yasir Azman: Thank you, Mr. Aleef Pasha, and good morning, everyone. Thank you for joining us for our quarter 4 2023 earnings call. I'm Yasir Azman, Chief Executive Officer of Grameenphone. As per our regulator's report till December 2023, the telecommunications industry has reached to 190.8 million subscribers, increasing by 1.7 million subscribers from September 2023. And during the same period, mobile data users decreased by 1.3 million, reaching to 118.5 million in December 2023. 
 Moving on to the sum of our key highlights for the quarter. Keeping customer centricity and personalization at the core, we have strategically deployed spectrum and constantly enhanced our network capabilities. In this quarter, we have prioritized the needs for our customers to provide a seamless user experience to continue to be the most reliable connectivity partner in the country. And this has led to 10% year-on-year increase in our 4G data users number in Grameenphone network. 
 Our streamlined, simplified and innovative product offerings have provided better value for our customers, driving better utilization and convenience for our customers. We are now able to elevate value on a continual basis, owing to which we have registered 20% growth in data. We continue our efforts to deliver the digital vision and advancing our customer service and entertainment arena by enhancing capabilities of our digital assets and expanding the OTT partner portfolio. 
 2023, obviously, has been a year of macroeconomic adversities impacting the entire nation with challenges in many dimension. Despite multiple challenges, both in local market and for global economy, Grameenphone delivered on top line and EBITDA, demonstrating our unwavering commitment to delivering value to our shareholders, stakeholders and customers.
 Touching up on some of the key macroeconomic updates. Inflation has remained over 9% as prices of goods and services stayed high, restraining the purchasing power of our customer. The Central Bank has declared its intention to introduce a crawling peg system for exchange rate management, a positive step towards supporting the depleting foreign exchange results. As for the latest global economic prospects, the World Bank has projected GDP growth to slower, and now the new projection is 5.6%. 
 On the regulatory front and in relation to BTRC audit, on 12 November 2023, in alignment with BTRC, the GP sought further time at the court, and next stage has been fixed on 29 September 2024. 
 Now to expand a bit more on the business aspects. Our focus on network investment has resulted in significant progress to spectrum deployment, site rollout and addition of cells to increase capacity. We have increased fiber connectivity to 41.5%, which is a significant jump from the previous years, and in 2022, it was 34%, and even before that, it was half of it, and have rolled out over 21,000 total sites in the country. 
 To leverage on IoT and cloud machine learning capabilities, a new brand for IoT services Alo has been launched with 8 different products that aims to position itself as a trusted and reliable IT platform in Bangladesh, adapting to meet the evolving needs of our customer. We have expanded our OTT partnership with [ iStream ], one of the largest library of classic Bangladesh movies and dramas; and with Sony LIV, SonyLIV's sporting events and movies. Through renowned national and international partnership, we further cement Grameenphone as the gateway to entertainment for millions of our connected customer across Bangladesh. 
 We are in a continuous journey of personalizing the entire customer interface using the power of artificial intelligence and machine learning. Using our digital assets such as MyGP, we have delivered offers and catalog personalization, simplifying the customer decision journey and contributing to an uplift in value. With our continuous focus on improving customer experience and providing more for more, our high-value sub base has increased by 13% this quarter, contributing to ARPU growth. 
 The digital landscape is experiencing a substantial growth, bringing with it immense potential. Higher adoption of digitally engaged customers has been seen throughout our online platforms, resulting in more than 1/3 of revenue flowing through these channels. And as you understand, while the customer is in digital space and we are able to interact with them, we can engage with our network and our services even more than what they were used to that creates value for the company and for the subscribers' lifestyle. 
 Moving on, we have been continuously focusing on establishing ourselves as an integrated digital operator by leveraging the digital assets that we have strategically built. MyGP continues to be the largest local self-service app in Bangladesh with now 17.5 million monthly active users. On top of that, we have also a new segment, which has a separate app, which is also significant and in millions. 
 Highlighting the success of our continuous focus to develop seamless digital experience of our customers. We are continuously investing and developing a better customer experience so that we -- our customers are happy to use the channels which is emerging in our market. The newly introduced version of MyGP 5.0 with simplified and slick interface provides an intuitive user experience for our customers and is [ half ] for telco service entertainment, learning and many more. 
 Our Cockpit, which is, in fact, for our retailers in the mass market, which is the largest retail platform, connects over 400,000 retailers in Bangladesh, a higher margin of contextual sales offered through this interactive app, also helping us to uplift ARPU. With 100% biometric services and [ 50% ] electronically charged transaction being conducted through this platform, it is clear that future is digital with Cockpit in our distribution ecosystem. 
 With the launch of 8 new innovative IoT products across various categories, along with existing partner base, we are leveraging on the limitless capability of technology and embracing a smarter way of living. We are the first in the industry to aggregate content from 24 -- more than 24 OTT platforms together under one umbrella. Majority of our partners were onboarded with a single sign-on capability to provide the best-in-class customer experience, making it easy for our customers to access these platforms and pushing Grameenphone to attain more firsts in the telco content industry of Bangladesh. 
 Moving on to the sustainable future. At Grameenphone, we believe that our responsibility extends beyond just our business operations. We are deeply communicate to building a sustainable future and making a positive difference in the communities we serve. Our belief in sustainability goals is not just limited to ourselves, but we also strategically partner with businesses that share our values and actively support social impact initiative. As of December 2023, 49% of our total spend to our suppliers are the partners who commit to reduce carbon footprint. That's a good progress. 
 We are investing in the renewable energy sector through the purchase of Energy Attribute Certificate that is aiding to our decarbonization goal. Grameenphone seeks to purchase renewable energy enabling the corporate power purchase agreement policy to achieve its climate targets, even partnership with USAID's flagship clean energy project. 
 Online safety program has always remained a key priority in our effort to build an inclusive digital future. We have trained more than 140,000 children from vulnerable communities to online safety and digital skills. On top of that, to boost digital literacy and Internet safety for Bangladesh's most marginalized and vulnerable groups, Grameenphone in partnership with Plan International commenced a comprehensive baseline survey that delves into the behavior, challenges and needs of 8 hard-to-reach communities. 
 In alignment with the vision of promoting gender equality in the society, we have introduced our initiative Internet Er Duniya Shobar, which will focus on accelerating digital inclusion for women by educating them across the nation and enabling them to explore the endless possibilities of Internet and the digital sphere. 
 We have been also making continuous efforts towards accelerating the nation's future economic growth by enhancing the skills and potential of our youth. Our innovation platform, GP Accelerator, has launched Jelay Jelay Smart Uddyokta, a regional design bootcamp with the endeavor to poster entrepreneurship to address the regional challenges and build local innovative solutions. 
 We have been recognized for our good practices. The multiple recognitions we received this year serves as a strong testament to our business practices, which has been appreciated both at a local and international level. Grameenphone is leading in the sustainability global practices and has secured the highest score among Bangladeshi listed farms in Bloomberg's sustainability list. We were also awarded the Sustainability Excellence Awards in Financial Inclusion category for GP Accelerator and GP Academy initiatives. 
 Grameenphone has been recognized as the highest tax payer in the telecom sector for the past 8 years by the National Board of Revenue as well as the Large Taxpayer Unit, LTU-Tax, occasionally. We are also recognized by LTU-Tax for our contribution in tax deduction at source, thereby playing a key role in the government's revenue collection in force. This is a testimony to Grameenphone's lawful and compliant tax practices and governance. 
 Not only on our sustainability and our contribution to the national exchequer, our leaders are being appreciated and acknowledged. Asia Marketing Federation has selected one of our inspiring leaders, Farha Naz Zaman, Asia's Top Outstanding Woman Marketeer of the Year award for her exceptional leadership and contribution in the field of marketing. We have also received the prestigious  C-Suite Awards for CMO and Chief Business Officer for the year, and of course, [ as is beyond ], by the brand from Bangladesh, which signifies that Grameenphone is being steered by strong leaders' pool for sustainable future. 
 With that, to all of you, I'll now welcome our newly joined Chief Financial Officer, Otto Risbakk, to take us and you all through our financial performance for the quarter Q4 2023. Otto, I'm handing over to you. Thank you. 
Otto Risbakk: Thank you, Azman, and good morning to everyone. As Azman said, I joined Grameenphone just a few weeks ago. So this is my first earnings call. It's great to me to hear on Zoom, and I hope to meet many of you personally during the year. 
 So before I go into the details, let me first start with a little bit highlight of the fourth quarter. So I'm happy to see that the market in general, despite the macro challenges, the telco market has been relatively resilient as we see in most markets globally. And we have performed well on that market, achieving a 6.9% year-on-year growth in S&T revenue. 
 On the cost side, there has been a pressure on cost, not only here in Bangladesh but also globally, in particular on the energy side. And I'm also pleased with our response to the cost pressure. We have a very disciplined approach to cost. And we have, as always, efficiency programs that we're running. And we have been able to offset that pressure, leading to an EBITDA margin -- solid EBITDA margin of 61.3%. 
 On the investment side, our strong balance sheet and cash position allows us to have a very long-term view, and we are continuing our work efforts to modernize the network and build digital platforms independently of the macro situation. And in the fourth quarter, the CapEx to sales ratio, and here, it is the last 4 quarters, represented 30% of revenue. So that's a very stable ratio. With regard to the earnings, we report solid earnings per share with BDT 4.35, reflecting the strong top line growth and the cost discipline. 
 So let's go to the next slide. So on the subscriber side, I'm happy to see that we continue to do well, attracting subscribers to our leading network. At the end of the quarter, the total number of subscribers stood at 82 million, and that is a growth of 3.6% compared to the last year. And if you look at the right side of the graph, a lot of that growth is driven by the strong data users, number of data users, which grew by a strong 7% in the quarter to almost 47 million. Underneath that growth, we see that we have a particular good growth on 4G customers, which according to statistics grew to almost 38 million. And a lot of that growth is driven by our digital platform that Azman described earlier in the presentation. So very good development on the subscriber base, keeping our total position and growing in data.
 So now over to the ARPU. So during the quarter, the service ARPU increased by 5.5% to BDT 161 compared to last year. The year-end growth in service ARPU is mainly driven by higher contribution from data services and increased demand for our digital products. With regard to data during the quarter, Grameenphone maintained an average megabyte per user at 6.7 GB. And that is a 12.5% growth compared to the same quarter last year. The growth compared to previous quarter is mainly driven by seasonal impacts. 
 So next slide. And here on this slide, we see the revenue trend in -- throughout 2023. And I'm happy to see that the good subscriber acquisition that we saw on the previous slide combined with ARPU is also leading to a solid revenue growth. Total revenue grew by 7.3%, and that is the highest growth rate we've had in 2023. On the right side, we see the same thing for service and traffic revenue, 6.9%, and we can see that most of our revenue is related to this growth. 
 Next, please. So on the data revenue side, we see an impressive development with a 20% year-on-year growth, up from 11.9% in Q4 last year. In total, data revenue now contributes about 31% of subscription and traffic revenue compared to about 28% in the fourth quarter of '22. The improved growth momentum in data revenue is the outcome of the relentless effort to improving data network experience and also all the digital innovation, which Azman explained with our MyGP platform, which also includes advanced use of AI and machine learning in order to offer personal offerings and a very good digital experience. We see high engagement on our digital platform, and we are very confident that this will continue to fuel our growth. 
 So with regard to OpEx and EBITDA, here, we can see on the left side the OpEx development for the quarter. Grameenphone reported OpEx of BDT 13.2 billion, which is a 19.2% year-on-year growth. The reported OpEx growth is mainly due to the energy price hike in 2023 and a positive one-off adjustment in the last quarter last year. If I compare OpEx growth like-to-like, excluding one-off items, the growth was 9%. And that underlines our ability to manage cost through discipline and operating efficiency measures. 
 On the right side, we can see the EBITDA development. I'm proud to present that Grameenphone delivered the 11th consecutive quarter of growth in EBITDA in the fourth quarter of 2023. And that is at 0.7% year-on-year growth and while maintaining a solid margin at 61.3% amidst energy price hike, inflation and macro challenges. So we are very pleased with that performance. The EBITDA growth was mainly contributed by improved top line growth and the efficiency that I mentioned. 
 So on investment. In the fourth quarter, Grameenphone invested BDT 3.2 billion in CapEx. This is excluding licenses and leases and ARO. And we are focusing mainly on improving our leading 4G network and fiber connectivity expansions, along with 2.6 megahertz -- 2006 megahertz spectrum deployment, to ensure enhanced network experience for our customers, which -- who increasingly consume data on 4G handsets. 
 Grameenphone rolled out more than 1,600 new 4G sites in the last 12 months. And thanks to our consistent and targeted investment plans over many years, Grameenphone maintains a solid leadership position in the industry with the highest number of 4G sites according to published information in the previous quarter. At the end of Q4 '23, Grameenphone's 4G sites reached more than 21,200 sites with an impressive almost 98% 4G coverage. 
 So now on next slide. So supported by the strong top line development and sound financial discipline, the profit for the quarter stood at BDT 5.9 billion, a year-on-year growth of 58.2%. The net profit growth was positively impacted by lower FX losses and lower finance costs compared to the last year. In Q4 of last year, finance costs were negatively impacted by the impact of legacy litigation verdicts. 
 If I compare the net profit on a like-for-like basis in Q4 2023 with the same quarter last year, we had a growth of around 8%. And this -- yes, we also are proud to present the operating cash flow, which for the quarter stood at a solid BDT 21.5 billion. The year-on-year BDT 2 billion growth was mainly generated by BDT 1.8 billion lower CapEx and the improvement in EBITDA. 
 On the right side, you can see that Grameenphone benefits from a very solid capital structure and a strong balance sheet. As of Q4, the net debt or the net cash position, if you want, stood at BDT 10 billion. The positive cash balance consists of both positive cash and exclude restricted cash in the balance sheet. A unique strength that we have is that the strong balance sheet allows us to continue our investment plan through different macro cycles and environment. 
 So here, we can see -- and this is a slide I'm very proud of, our contribution to the national exchequer over the years. So we can see that we have been increasing our payments to the national exchequer year-by-year. And in 2023, it stood at BDT 122 billion. And this includes all sorts of taxes, VAT, duties, licenses, spectrum and assignment fees and so on. Since the inception, Grameenphone has now contributed more than BDT 1,183 billion to the national exchequer. So we're proud of that achievement. 
 So with regard to dividends, 2023 has been a year with multiple macroeconomic challenges. So in order to safeguard our future, secure long-term capacity for investment and strengthen our financial position and be resilient, we believe that the prudent approach is essential to maintain a solid capital structure, considering future risks and uncertainty. We therefore propose a final dividend for 2023 of BDT 12.50 per share or -- which is about BDT 17 billion in total. And that represents 51% of the profit of the year, and that is in line with our dividend policy. We have a very strong balance sheet. So if conditions should improve in 2024, we are able to pay interim dividends. But this, as usual, has to go through the Board for approval before we can commit anything. 
 So let me round up just with the highlights for the full year of 2023. On the revenue side, we realized profit (sic) [ growth ] of 5.2%, and that is more or less in line with the year 2022 where we have 5.5%. But we had a slow start in 2023, and we see that we have been building momentum. So we finished the year with 6.9%. So I'm happy to see that we are going into 2024 with a strong momentum. The EBITDA margin for the year was 61.3%, which is close to the margin that we had in 2022. We also continue to invest in investment program, keeping the ratio around 13%. And in total, we have distributed -- we have reached earnings per share of BDT 24.49, and that is an increase of about BDT 2 versus the BDT 22.29 in 2022. 
 So overall, we see that we have good growth on all major lines in the business. We see -- we continue to invest in our leading network. And also, as Azman presented, we have a lot of exciting development on our digital platforms. So we feel we are going into 2024 with very good momentum. 
 So with that, I will hand it back to Azman to summarize and wrap up. 
Yasir Azman: Thank you, Otto. And financial summary has already been done so well by our CFO, Otto Risbakk. Still, I'll highlight a few more things once again to reinforce that quarter 4 of 2023 registered continued growth momentum in both revenue and EBITDA while still navigating external challenges and strengthening our core services. 
 We also talked about network expansion, our efforts in network expansion and investment, transforming the user experience and strengthening our position as the #1 network in the country. We are building new data centers, and one we have already just this quarter, we have launched, taking our technological excellence near to the customers to continue to be the most reliable connectivity partner in Bangladesh. To drive the growth momentum, we continue to focus on meeting our customers' unique needs through digital-centric innovation and advanced technological capabilities. 
 Our deliberate and focused efforts towards nurturing diversity in our workplace and promoting inclusivity, that greatly contributed to creating a more dynamic work environment. As of the fourth quarter of 2023, the percentage of women in the total workforce reached to 19.8%, and that's in the increasing trend. 
 Last but not least, a very important one, the privacy. It is one of the biggest concern in the age of machines and rapidly growing era of [ sophisticated ] technology. At Grameenphone, we exercised the best practices as such, strengthened across access control implementation and enhanced network security to protect the privacy of our customers, employees and other related, anyone to Grameenphone network. 
 With that, I'll hand over to Aleef for our Q&A session. Have a good day, everyone. Thank you once again. 
Aleef Pasha: Thank you, Azman bhai. We have a couple of questions that have come in separately to me. So I will address them right now. So Otto, the first one is for you. Why is quarter-on-quarter GP not performing well in total revenue or DSTR in Q4? 
Otto Risbakk: Yes. Thank you for that question. It's good to see that somebody has high ambitions for us. But actually, we did perform quite well, I think. So in the fourth quarter, we continue our solid performance with -- it was the 11th consecutive quarter of year-on-year growth, and we reached a growth of 6.9%. So I'm actually pretty happy with the growth in particular considering the inflation and the macro situation, and there was elections also coming up. So all in all, I'm happy actually with the performance of revenue. And like I said, I think we have a good momentum. 
Aleef Pasha: Thank you, Otto. One more for you. It's in terms of data revenue. So the question is that data revenue composition in Q4 has fallen. What's your view on that? 
Otto Risbakk: Yes. That's a good question. So first of all, we have had tremendous growth of data revenue, and we see a lot of engagement [ added ] to the platforms. So I think if you look also in other markets, you have some seasonal impacts and some peaks every night then. We see underlying growth is coming. So I expect actually the data usage to show growth in 2024. 
Aleef Pasha: Thank you. Azman bhai, we have one for you. This is in terms of data usage. So the question is that data usage has been stagnant since Q2 and Q3. And then we've seen it fall in Q4. Why? 
Yasir Azman: Thank you, Aleef. It's data usage, not data subscribers and revenue. In Q2 and Q3, data usage per user reached to more than 7 gigabyte, 7.1 gigabyte, which was a milestone and highest in the industry. However, in Q4, data usage actually got impacted. There are many factors by rising inflation. We have seen the preelection political instability also impacted overall economy and our customer spend and other macroeconomic challenges. 
 Besides, during the quarter, lower validity packs actually were discontinued due to BTRC's instruction, which further impacted our data usage where the volume is high and the customer [ usage is ] very fast with a low validity period. So it's more of the customers are adjusting their usage pattern. That's other than the macroeconomic and other challenges. And we believe that this will have a strong record. Thank you. 
Aleef Pasha: Thank you, Azman bhai. Otto, 2 more for you. So let's take the first one. What led to NPAT to grow so significantly in Q4? 
Otto Risbakk: So net profit, if you compare to the same quarter last year, it was a significant growth. And then we see that there are some ups and downs in the quarter. I think the underlying profit growth is quite stable. And then we have, from time to time, some one-offs. So at this quarter, the growth stood at 58.2%. But like I said, if I would compare like-for-like, the growth in net profit was around 8%. And this is due to, like I said, one-offs. For example, we had a legacy litigation verdicts in the fourth quarter last year, which had an impact on the result. So you would see that if you take the long line, you would see that this will flat out and that we see a continued stable growth in net profit. 
Aleef Pasha: Thank you. Finally, there is one last question till now. So this has been covered though, but I mean, Otto, you can say a few words if you wish. It can be seen that the dividend payout ratio is around 51%. It has dropped significantly. Why is it so? 
Otto Risbakk: Yes. I think this -- first of all, we have a very strong balance sheet with a net positive cash position now as of Q4. And we have a very strong business. However, we do see a macro situation around us, which is challenging. So we prefer this quarter to be prudent, and we are staying within our dividend policy of at least 51%. But it's clear that we do have capacity to increase the dividends if the macro picture should improve. But we can never promise anything on dividend to see that quarter-by-quarter, and obviously, that has to be approved by our Board. 
Aleef Pasha: Thank you very much, Otto. And we do not have any more questions. So if though any of the analysts have further questions, please reach out to me. We can take it separately. So for now, we end the fourth quarter. Thank you, everybody, for joining us. Thank you, Azman bhai. Thank you, Otto. And goodbye. 
Yasir Azman: Yes. Thank you, everyone. Thank you, Aleef. 
Otto Risbakk: Thank you. Thank you, everyone. Thank you.